Operator: Thank you for standing by. This is the conference operator. Welcome to the Allied Esports Entertainment First Quarter 2021 Earnings Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions.  I will now turn the conference over to Lasse Glassen, Investor Relations. Please go ahead.
Lasse Glassen: Thank you, operator. Good afternoon and welcome to the Allied Esports Entertainment's 2021 first results conference call. Speaking on the call today is Allied Esports Entertainment's Chief Executive Officer, Frank Ng; and Chief Financial Officer, Tony Hung; the Company's President and long-time World Poker Tour, CEO, Adam Pliska; and Jud Hannigan, who is leading the Allied Esports Operations are also available for the question-and-answer session.
Frank Ng: Thank you, Lasse, and thank you everyone for joining us this afternoon. My remarks today will focus on an overview of the key highlights from this past quarter in our ongoing efforts to grow our business amidst the current COVID-19 pandemic. Tony Hung, our Chief Financial Officer, will follow with additional details on our first quarter financial performance. Similar to last quarter, the financials we are reporting today pertain to our continuing operation, which includes our Allied Esports business and the corporate TopCo AESE expenses. World Poker Tour or WPT is in the process of being sold to Element Partners and our existing stock purchase agreements subject to our stockholders approval. Therefore, WPT's results continue to be presented as discontinued operations for the first quarter and the comparable period for the prior year. I will provide an update on the pending WPT's all transaction in more detail shortly and Tony will go through WPT's financial results and operational highlights in his remarks.
Tony Hung: Thank you, Frank. Good afternoon everyone and thank you for joining us today. We've made solid progress during the first quarter of 2021. While our in-person pillar continues to be impacted by the travel restrictions and health and safety protocols as a result of the pandemic, we believe recovery is underway as we are seeing an increase in foot traffic in Las Vegas and an uptick in event bookings and calendar holds for the second half of the year. We've also continued to make progress on the development of our multi-platform content pillar and reduced our operating expenses. As a reminder, the World Poker Tour segment of our business is being treated as discontinued operations for accounting and disclosure purposes. Therefore, our results presented today relate to the continuing operations of Allied Esports and our parent company AESC and exclude the World Poker Tour. Now turning to our first quarter results from continuing operations, total revenues for the quarter was $0.5 million down 52.6% year-over-year and all derived from the in-person pillar of our business. Looking at these results in greater detail, the decrease in in-person revenues for the first quarter was a result of postponed events, reduced operating hours, and social distancing measures that are continuing as a result of a pandemic while the first quarter of 2020 in comparison had minimal impact from the pandemic. Total costs and expenses for the first quarter were 5.4 million, a decrease of 42.9% from 9.4 million in the first quarter of 2020, reflecting our continued prioritization to manage expenses during the quarter, and actively reduce all non-essential spending across all of our cost and expense items. Notably, in-person pillar costs and expenses decreased by 45.5% versus first quarter of 2020, selling and marketing expenses by 42%, and online operating expenses by 34.7%.
Operator:
Frank Ng: Okay, thank you for your support and for joining us  our 2021 second quarter in August. Thank you again for your time and attention this afternoon and please stay safe and healthy.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.